Operator: Hello, and welcome to the ICE Fourth Quarter 2022 Earnings Conference Call and Webcast. My name is Alex and I'll be coordinating the call today. [Operator Instructions] I'll now hand over to your host, Katia Gonzalez, Investor Relations and Senior Analyst. Katia, please go ahead.
Katia Gonzalez: Good morning. ICE's fourth quarter 2022 earnings release and presentation can be found in the Investors section of the ice.com. These items will be archived and our call will be available for replay. Today's call may contain forward-looking statements. These statements which we undertake no obligation to update, represent our current judgment and are subject to risks, assumptions and uncertainties. For a description of the risks that could cause our results to differ materially from those described in forward-looking statements, please refer to our 2022 Form 10-K, and other filings with the SEC.  In addition, as we announced last year, ICE has agreed to acquire Black Knight. The transaction is pending customary regulatory approval and we expect to close in the first half of this year. In connection with the proposed transaction, ICE has filed with the SEC a registration statement on Form S-4 to register the shares of ICE common stock to be issued in connection with the transaction. The registration statement includes a proxy statement of Black Knight that also constitutes a prospectus of ICE. Please see the Form S-4 filing for additional information regarding the transaction. In our earnings supplement, we refer to certain non-GAAP measures. We believe our non-GAAP measures are more reflective of our cash operations and core business performance. You'll find a reconciliation to the equivalent GAAP terms in the earnings materials. When used on this call, net revenue refers to revenue net of transaction-based expenses and adjusted earnings refers to adjusted diluted earnings per share. Throughout this presentation, unless otherwise indicated, references to revenue growth are on a constant currency basis. Please see the explanatory notes on the second page of our earnings supplement for additional details regarding the definition of certain items. With us on the call today are Jeff Sprecher, Chair and CEO; Warren Gardiner, Chief Financial Officer; Ben Jackson, President; and Lynn Martin, President of the NYSE. I'll now turn the call over to Warren.
Warren Gardiner: Thanks, Katya. Good morning, everyone. And thank you for joining us today. I'll begin on Slide four with some of the key highlights from our fourth quarter results. Net revenues of $1.8 billion were driven by transaction revenues of $828 million and recurring revenues of $940 million, up 4% year-over-year. For the full year revenues totaled $7.3 billion, also up 4% versus last year. Fourth quarter adjusted operating expenses totaled $740 million, and we're within our guidance range, including approximately $5 million of additional severance. This strong performance helped to drive fourth quarter adjusted earnings per share $1.25 and full year adjusted EPS of $5.30, an increase of 5% versus 2021.  2022, free cash flow totaled a record $2.9 billion, which enabled us to return nearly $1.5 billion to shareholders while also continuing to make strategic investments across our business. In addition, we have received Board authorization to increase our quarterly dividend by 11% to $0.42 per share, beginning in the first quarter of 2023, extending our 10-year track record of double digit dividend growth. Now let's move to Slide five, where I’ll provide an overview of the performance of our Exchange segment.  Fourth quarter net revenues totaled $982 million. Transaction revenues of over $600 million were driven in part by 11% growth in agricultural commodities, and 13% growth in our equity derivatives business. Importantly, open interest trends remain strong across our futures and options in January, including 14% growth in global natural gas and 24% growth in LIBOR. Recurring revenues, which include our exchange data services, and our NYSC listings business increased by 5% year-over-year in the fourth quarter. Customer growth, particularly within our energy exchange data was partially offset by slower growth in our listings business. While industry wide capital markets activity was relatively muted. It's worth noting that despite a slower year for IPOs, across the globe, we had a record year for listing transfers was 34, including more operating companies in the last three years combined. For the full year exchange segment, revenues increased by 8%, including a 33% increase in our interest rate business, a 20% increase in equity derivatives, and an 8% increase in our global natural gas revenues. Turning now to Slide six, I'll discuss our fixed income and data services segment. Fourth quarter revenues totaled a record $537 million up 13% versus a year ago. Transaction revenues increased by 89%, including 182% growth in ICE bonds, and 66% growth in our CDS Clearing business. Similar to last quarter, this strong growth was driven by market volatility, higher interest rates and our continued efforts to build institutional connectivity to our bond platforms. Recurring revenue growth of 3% was driven by demand for additional capacity on ICE global network, as well as strong growth across our desktop, feeds and analytics offerings. We're beginning to see a return on the investments we've made in both enhance content and functionality. This performance is a key driver of our other data and network services business which increased by 8% in the fourth quarter, and 10%, excluding the impact of the Euronext migration. Somewhat offsetting with slower growth in our end-of-day pricing business, we're experiencing a slower sales cycle and pressure from asset base revenues in our index business, which declined double digits year-over-year, as investors shifted out of higher fee risk assets, such as equities and corporate bonds, and communities and treasury ETFs.  For the full year, total segment, revenues totaled a record $2.1 billion up 13%. While adjusted operating margins expanded by 500 basis points, as anticipated recurring revenue grew 4% for the year and it was up 5% after adjusting for Euronext. Let's go next to Slide seven, where I’ll discuss our Mortgage Technology Segment. Fourth quarter Mortgage Technology revenues totaled $249 million. Recurring revenues which accounted for two-thirds of segment revenues totaled $164 million and grew 10% year-over-year. These strong recurring revenues continue to drive out performance versus an industry that experienced a nearly 60% decline in origination volumes. Importantly, they've now less revenues increased by over 30% year-over-year. For the full year, Mortgage Technology revenues totaled $1.1 billion, including a 16% increase in our recurring revenues, and a 24% increase in our data analytics revenues. And while industry volumes were actually below those seen three years ago in 2020 -- in 2019, pro forma 2022 Mortgage Technology revenues are higher by nearly 50%, representing a CAGR of roughly 14%. I'll conclude my remarks on Slide eight with some additional guidance.  Recurring revenues in 2023 were once again be led by our Mortgage Technology segment, where we are expecting mid to high single digit growth, a testament to the continued adoption of automation across the mortgage workflow.  In our fixed income and data services segment, we expect recurring revenue growth, excluding headwinds of approximately $15 million related to FX and the Euronext data center migration to once again be in the mid-single digits.  And lastly, in our Exchange segment, we expect recurring revenue growth excluding a $20 million headwind from the cessation of LIBOR to be in the low single digits. As continued growth in our energy exchange data services is offset by fewer IPOs and the tapering of 2021 initial listing fees.  Moving to expenses, we expect 2023 adjusted operating expenses to be in the range of $3.04 to $3.09 billion. Consistent with prior years, we will reward our employees for their contributions to our strong results, and therefore expect cash compensation expense to increase by approximately $20 to $40 million.  Strategic investments in technology operations and revenue related initiatives are expected to increase by $40 to $50 million, driven by higher licensees as well as investments across all three of our segments.  In addition, we expect roughly $45 million to $55 million of incremental noncash expense, including $25 million of D&A related to the rebuild of Ellie Mae CapEx. And lastly, we expect an FX benefit to our adjusted expenses by approximately $5 million to $15 million when compared to 2022. In summary, we delivered another record year of revenues, operating income, free cash flow and earnings per share. Across our business, we made strategic investments in future growth and as we enter 2023, we are well positioned to meet the evolving needs of our customers, once again, deliver profitable growth and create value for our shareholders. I'll be happy to take questions during Q&A. But for now, I'll hand it over to Ben.
Benjamin Jackson: Thank you, Warren, and thank you all for joining us this morning. Please turn to Slide 9. 2022 was a year marked by rising inflation, rising interest rates and continued geopolitical and macroeconomic uncertainty. Amidst this dynamic macroeconomic environment, we once again grew revenues, operating income and earnings per share, record results that are a testament to the resiliency and durability of our strategically diversified business model. In our financial futures markets, rising inflation and central bank activity across the globe presented an interest rate environment that has not been seen in generation, helping us drive 20% volume growth in our interest rate complex and 15% growth in our equity derivatives business.  Across our global energy markets, the events unfolding across North America, Europe, Russia and Asia have triggered a reshaping of the global energy supply chain, creating new risks and uncertainties for market participants to navigate.  In our global natural gas markets, an evolving energy supply chain in Europe has led to increased demand for global liquefied natural gas, or LNG, and has helped us drive a 17% increase in global gas volumes in 2022. This includes 24% growth in our North American gas business, which has benefited not only from increased commercial engagement with our Henry Hub contract but also our North American basis markets. These trends have continued into January with global natural gas open interest up 14% year-over-year, including 21% growth in North America. Although our European carbon markets experienced headwinds in 2022 due to the aforementioned factors, the secular trend towards cleaner energy continues and is a growth trend we are uniquely positioned to capture, as evidenced by the record year in our North American environmental markets with volumes up 5% year-over-year in 2022.  As we look out over the longer term, corporates and market participants remain committed to environmental policy to reduce carbon emissions. This is an evolution that we've long envisioned and is one of the largest providers of environmental products, including renewable fuel contracts, carbon allowances, nature-based solutions, renewable energy certificates as well as the wealth of climate data and related into season analytics. We are excited about the many future growth opportunities that lie ahead. Moving to our Fixed Income and Data Services business. Our comprehensive platform continues to generate compounding revenue growth and delivered another year of record revenues in 2022. This strong growth was underpinned by both recurring and transaction revenue growth, again a testament to the strategic diversification of our business and our ability to deliver growth through an array of macroeconomic environments.  Rising market uncertainty and interest rates are driving an increase in demand for credit protection, and we have seen this lead to increasing trading activity in our bonds business. These factors, coupled with our continued efforts to build institutional connectivity to our bonds platforms, continued to record full year revenues -- to record revenues in our ICE Bonds business in 2022 up nearly 100% year-over-year. Turning now to our Mortgage business, increased workflow efficiency through continued electronification is a secular trend we believe will continue through a variety of mortgage origination environments. Our ability to capture this secular trend is evidenced by the strength and resiliency of our recurring revenues, which increased 16% in 2022. This continued strength is a result of executing against our strategy of leveraging our mission-critical technology and data expertise to accelerate this analog to digital conversion. As mortgage origination volumes have normalized, customer conversations have increasingly centered on efficiencies and automation. In the fourth quarter, we had our strongest quarter of last year in terms of sales to new customers of our loan origination system with wins across each major segment we service.  In addition, there continues to be increased interest in our data and analytics products, which increased 31% in the quarter and 24% for the full year in 2022. Through our AIQ solution and analyzer tools customers can save thousands of dollars per loan by leveraging our data and analytics tools to drive automation in the loan manufacturing process. We are pleased that the value of our offerings continues to resonate with lenders, and we remain optimistic about the long-term opportunity to accelerate the analog to digital conversion.  I'll now turn the call over to Jeff.
Jeff Sprecher: Thank you, Ben. Good morning, everyone, and thank you for joining us. Please turn to Slide 10. I want to begin by touching on our pending acquisition of Black Knight. As communicated, when making the announcement, we continued to believe that this transaction will close during the first half of this year.  Our respect for the Federal Trade Commission's work on this matter, and as we cooperate with them to gain regulatory approval, we do not intend to comment further on the transaction. But importantly, we remain excited about the efficiencies that the combined entities will bring to the end consumer and to other stakeholders across the mortgage ecosystem. In that vein, and shifting to what was yet another successful year, 2022 marked our 17th consecutive year of record revenues, record operating income and record adjusted earnings per share. This track record of growth reflects on the quality of our strategy and, more importantly, on the execution of that strategy. We've intentionally diversified across asset classes and geographies, so that we're not tied to any one cyclical trend or macroeconomic environment. We've deliberately positioned the company to have a mix of transaction and compounding subscription revenues to provide upside exposure while hedging our downside risk. We've placed the company at the center of some of the largest markets undergoing an analog to digital conversion. The combination of these factors is what has made ICE an all-weather name and a business model that provides upside to volatility with less downside risk and, importantly, a business model that generates growth on top of growth. For example, in 2022, inflationary concerns and market speculation of central bank activity benefited our European and U.K. interest rate business, driving a 33% increase in revenues for the full year. These conditions also contributed to record full year revenues in our credit default swap clearing business, up 61% year-over-year, as rate volatility drove increased demand for risk management and credit protection. Across our mortgage business, even against this backdrop of rising interest rates, our business outperformed the broader market driven by strong recurring revenue growth, up 16% for the full year. Again, this is a reflection of the all-weather nature of our business model.  As we look to 2023 and beyond, we're positioned to capitalize on the secular and cyclical trends occurring across asset classes, and we remain focused on executing on the many growth opportunities that are in front of us, extending our track record of growth. I'd like to conclude by thanking our customers for their business and for their trust in 2022, and I want to thank my colleagues for their contributions to the best year in our company's history.  And with that, I'll turn the call back over to our operator, Alex, who will conduct a question-and-answer session until 9:30 Eastern Time.
Operator: [Operator Instructions] Our first question for today comes from Rich Repetto from Piper Sandler. Rich, your line is now open. Please go ahead. 
Richard Repetto: Yes, good morning, Jeff and Ben and Warren. I wanted to ask about energy and more specifically natural gas. Ben, you made a lot of comments about how strong the U.S. natural gas markets are. You can see it in the volumes. But one issue it seems coming up is in the European natural gas and the TTF contract want to put in the right perspective, it's only 15%, I think, of the natural gas volumes but this whole deal with price caps that have been implemented and what you're going to do about it. And I guess it ties into the bigger question of politics and regulation impacting the markets, Jeff, as well. But anyway, the question on natural gas and sort of this broader intervention of government or regulation.
Benjamin Jackson: Rich, it's Ben. Great question. To start, you got to remember that gas used to be a commodity that was highly dependent upon wellheads and pipeline infrastructure. So supply chains used to be a natural gas, very attached to that type of infrastructure. And whenever there was a disruption to that type of infrastructure, it's very difficult to adjust to rebalance those supply chains is all very localized, not really a global energy product. Fast forward to today, natural gas is very much a global energy product. It's a global energy supply chain, especially with the advent of LNG. And today, LNG can be freely flowed pretty much anywhere around the world as long as there's regasification capacity to do this. We saw this many years ago, and we've been investing in a global natural gas business that provides benchmarks around the world, has LNG contracts around the world that continue to expand as well as LNG freight contracts. So if you look at last year in GTF specifically, you had the unfortunate event where Russia invades Ukraine, and we saw significant energy supply disruptions where Russia was a significant supplier of oil, gas oil and natural gas, in particular, to Europe. And those supplies were effectively cut off. It created a very difficult trading situation for many of our market participants. At the same time, we saw market data subscriptions continue to grow in that part of our business. We saw more and more high balls and more of our community was growing around this. Fast forward to 2023, those supply chains have readjusted because natural gas is now a global commodity. And you have a significant amount of U.S. LNG and Middle Eastern LNG flowing now to Europe, backfilling a lot of those lost Russian gas supplies. So this market clarity has helped bolster confidence in trading products like ETF, and you see it already year open interest is up 10%. Volumes are up roughly 4% off of a comp of last year, which was actually pretty strong for TTF at the beginning of the year. Now for gas specifically, you have all kinds of macroeconomic environments that people need to manage risk around right now, but it's important to point out these are tradable events. Things like regasification coming online in Europe, so there's more and more gas that can come into Europe more efficiently. You've got storage -- gas storage facilities across Europe that have been filled.  Weather so far hasn't been an issue this year in Europe. European demand is down. So you have a potential for a recession that's looming. Chinese demand last year in '22 was down with the economy, for all intents and purposes, closed, and now it's reopening. And for the first time last year in '22, it's the first time that natural gas and LNG physical supplies into China is likely to reduce since the early '80s. So now with the reopening, what is that going to mean?  And then you also have a move towards a cleaner environment, where natural gas being the cleanest of the fossil fuels continues to be in high demand. These are all macroeconomic environments that can be tradable. They are all things that people can forecast around. And we feel great about the position that we have with the business that we've built to help traders manage around that, and we continue to invest in new contracts in the LNG space, few basis contracts in Europe around that. Now on price caps, I have mentioned on the last call, I went through a whole bunch of different issues that price caps can introduce around the difficulty you can create for people to manage and trade risk. ESMA has even come out recently with a comment that the unfortunate consequences of a price cap can be making it difficult for people to manage risk. Now for the aforementioned factors that I mentioned, the price of TTF has come way down. And the price cap right now is set at north of 3 times where TTF is trading. But that said, these can create issues for our market participants. So what we've decided to do is we're launching a new TTF contract in the U.K., it's a look-alike to the one we have in the Netherlands now, to provide customers a choice.  It's important to point out that, that TTF contract is going to trade alongside another TTF contract that we already have in the U.K. called the TTF frontline. It's a U.S. dollar-denominated contract that's oftentimes used as a basis contract to trade LNG cargoes because those are also U.S. dollar-denominated. And all those contracts cleared in the U.K. already. So we already have a community of traders that are attached to us in the U.K. for that. And it's a hedge. If they decide to use it, great. At a minimum for us, it provides us a free market price discovery mechanism to manage risk in our clearing house and to settle contracts.
Operator: Our next question comes from Daniel Fannon of Jefferies. Daniel, your line is now open. Please go ahead. 
Daniel Fannon: Thanks, good morning. I wanted to follow up on the fixed income and data outlook as you think about '23, the mid-single-digit growth. Can you talk about the inputs that you're assuming for 2023, whether that's pricing and where the growth is? And I know you've cited some headwinds in '22. And maybe elaborate a little bit on that and maybe how you're thinking about changes within those headwinds going forward.
Warren Gardiner: Dan, it's Warren. Good question. So there's not really much change in terms of our expectations and our targets as we head into next year. A couple of years ago, we outlined the growth algorithm for the data business, and that's been pretty consistent for the last couple of years. So there'll be a little bit of price we talked about in prior years, that being around a third of the growth. There will certainly be contributions from new customers, contributions from current customers purchasing more. And so I think it's a pretty similar algorithm if you're thinking about this year versus past years.  I think when we're thinking about 2023 specifically, look, the macro, those factors are a little bit difficult to predict. I mean, AUM fees, particularly the last two quarters, those have been something that have weighed on us a little bit. I don't know exactly where those are going to go next year. It does feel like certainly in areas like fixed income, we could see some stabilization. And frankly, fixed income could very quickly become a very attractive asset class. So look, we're having some really good conversations with customers. We are a data superstore, if you will, We're indices, we're end-of-day pricing. We have analytics. We have got desktops. We've got fees. It's a really diverse business. And so it's an opportunity for us to have conversations with customers in this kind of environment than we are to maybe find ways to save but spend more with us.  And that's something I think you've heard us talk about the last couple of years. So there's nothing really different about our target. But again, we're certainly cognizant that it's a somewhat challenging environment for a lot of our customers at the moment.
Lynn Martin: Hi, Dan, this is Lynn. I'm just going to jump in with a bit more color on what Warren said. I think this segment, in particular, really illustrates the all-weather nature of the ICE name. And the ability for this segment to grow 13% in spite of some of the challenges Warren has highlighted really underpin that.  If you look at the execution side of the business, volatility has certainly been a tailwind, but importantly, new products and new customer acquisition has also been driver of our growth, new products in the CDS clearing side of the business, including our CDS options.  In terms of ICE bonds, we've actually been able to grow our institutional market share. Institutional business in the muni asset class, in particular, is up 205% in Q4 alone, 175% for the full year. And we've been able to gain in muni about 650 basis points of share in 2022, really driven by the work we've done with the institutions to plug into their workflows. Now obviously, some of the macro forces have impacted the fixed income and data and analytics line, as Warren highlighted, slightly slower sales cycle in our pricing business. AUM trends driving out of our higher capture products into our lower fee capture products. But I would be remiss if I didn't talk about the outsized performance of our other data services line, where we haven't seen a slowdown in the sales cycle. And this was really fueled by demand for capacity, which was up 18% in the quarter, double-digit growth in our desktop and derivatives analytics businesses as well as strong growth in our fees business. So I think when you take a step back and look at the segment overall, we couldn't be more optimistic about the ability for that segment, in particular, to grow, compounding in a variety of macroeconomic positions because of the all-weather nature of the name.
Operator: Our next question comes from Ken Worthington of JPMorgan. Ken, your line is now open. 
Ken Worthington: Good morning. Thanks for taking the question. Maybe to follow up on Rich's question, but with a focus on oil I wanted to dig a bit deeper into some of the changes that are being made there. You mentioned on the last call that you were taking Russian molecules out of the benchmark and highlighted the reconstitution maybe adding to activity levels in Brent. Given that Russian oil continues to flow pretty actively in Europe, is the reconstitution helping or hurting like you thought? And then secondly, I think Midland WTI has been added to Brent. To what extent do you see this inclusion making Brent an even more relevant benchmark? And as we think about Brent as a competing product to WTI, might this shift further drive share to ICE and Brent in oil?
Benjamin Jackson: Thanks, Ken. It's Ben. Great question. And yes, you're right. You had the same dynamic that I highlighted before on TTF with oil as well as downstream products like gas oil as well, to some degree, getting cut off from Europe. But we have seen a similar dynamic that I mentioned in the natural gas markets where you have U.S., Norway and Middle Eastern oil now flowing in to help address some of that supply that has been lost based on Russia effectively cutting that off. So what we have seen -- since we announced in the second half of last year, that Russian molecules were no longer deliverable into the gas oil contract as an example. One of the things that we saw develop underneath the covers is that open interest in gas oil from October 1 to the end of last year grew 100% in deliveries starting in January of this year. And then since the end of the year, it's grown another 14%. So all that is showing the underlying health of the return and bolstering of market confidence coming back to products like gas oil, once that specificity was created. That said, you have a whole -- so we're seeing market confidence come back. Brent's up as well since the beginning of the year. So we feel good about that contract. Our Brent options contract has also done very well. But all of these supply chain changes around the world is why we've been making the investments we've had in a whole bunch of different areas around oil over the last few years. Two years ago, we've announced and launched ICE Futures Abu Dhabi and the Murban contract. And the interesting development we've seen with Murban is that Murban historically priced Middle Eastern barrels going out to Asia. And now, as I mentioned, Middle Eastern oil is also backfilling, to some degree, some of the supply cuts happen from Russia on oil supplies. And we're seeing Murban now being used to price Middle Eastern barrels that are going into Europe. That's one of the things that's feeding north of a 50% growth in Murban year-to-date this year. So we're off to a great start there. The Midland WTI contract that you highlighted, we launched that contract a year ago. And that contract is off to a great start. Tons of physical traders in it, prices, Midland TI that goes to Houston and hits the water and a lot of that oil is going over to Europe, it's a perfect product for people to use to hedge cargoes that are going into Europe. And again, with that supply chain dynamic of U.S. oil, backfilling a lot of the Russian oil that was cut off, we were very well positioned there. And then at the midpoint of this year, that Midland contract is perfectly positioned to be traded in parallel to Brent with those Midland TI barrels coming into the Brent index. So we feel very well positioned with all of the investments we've been making in and around oil in anticipation of potential supply chain changes, and we think we're well positioned there for growth.
Operator: Our next question comes from Chris Allen of Citi. Chris, your line is now open. Please go ahead. 
Chris Allen: Good morning, everyone. I wanted to ask about Mortgage Tech recurring revenue outlook. You noted some bright spots in your comments just in terms of some of the sales you're seeing, the conversations you're having with customers, but we're seeing this continue to somewhat -- to decline in terms of the pace of growth, albeit still at healthy levels.  And coming into the mortgage slowdown, you kind of noted that the mortgage industry was have been very busy during the single upturn. Now that the downturn occurred, there was an opportunity set to improve efficiency there that it's almost going to an acceleration of recurring revenue growth. So maybe you could kind of frame out the decline in the Mortgage Tech revenue growth outlook. What's being driven just in terms of the overall dampening of the industry right now? What's kind of the opportunity set in terms of further customer penetration going forward?
Benjamin Jackson: Thank you. Thank you for the question. Great question. And I always highlight, and it's important to point out, that we're looking to build this business and build some fundamental building blocks that enable this business to grow 8% to 10% over a long period of time. And you're right. So we've made a very concerted effort. One of the big cornerstones of that strategy is a concerted move to move transaction revenue more and more towards subscription to make the business model much more predictable underneath that.  And we feel good about the fact that we've been able to grow subscription revenue in the fourth quarter of 9% given the backdrop of an environment where volumes were down 60% and sequentially, they were down 20% approximately. So in that environment, we're still able to grow it. And I'll be the first to highlight, the mortgage industry didn't expect the downturn to happen as fast as it did or as rapidly and as deep as it did. So we have seen with some of our clients that are coming up for renewal. We've seen some clients consolidate, gone through M&A on true business. And so we've seen some cancellations due to those factors. That has created some headwinds into the business. But offsetting that, we've had a number of different items that have enabled us to grow and give us confidence in the ability to grow the business going forward. The first thing is that of the renewals we had last quarter, north of 60% of them renewed at higher subscription rates than they did at the beginning of the quarter due to our strategy to intentionally shift more transaction revenue towards subscription and also success in cross-selling more clients -- more products to our clients. The second is we had a very strong quarter and encompassed sales. In fact, the strongest quarter that we had of all of 2022 was in the fourth quarter. And we've seen that in a couple of different areas. So we saw it across all the different segments that we cover. So I think of banks, non-bank originators, brokers, credit unions. But we also saw a lot of new start-up companies coming to us.  So with the unfortunate backdrop of people getting downsized in this mortgage environment, several of those impacted employees are becoming entrepreneurs, starting up their own mortgage shops. And we're very well positioned to win that business, albeit it may be at a lower subscription fee to start, but we have the ability to grow with them as this mortgage market will snap back at some point in time. We also see, just looking out into the future that there's a lot of large banks, large -- a lot of large home lending banks that have legacy infrastructure in-house systems that they've been running for years that are looking to upgrade and replace that.  We think our funnel reflects that, and we feel really good about the prospects that those companies are looking to continue to make investments here in 2023, which will lead to growth factors for us going into the future. So that's a little bit of color of what happened in the fourth quarter as well as why we feel good about our prospects going forward.
Jeff Sprecher: And I think if you step back -- this is Jeff. If you step back, what we're talking to the industry about is a fundamental shift in the way they assemble and manufacture mortgages to take costs out of the system, to move the industry to more of a SaaS model, subscription-based model instead of a model where every single mortgage is put together a la carte with services and the cost of a first-time homebuyers mortgage versus the cost of a $1 million mortgage are essentially the same in the current system. And it just makes sense to us that if we can give the industry a more predictable way of operating their businesses, they can be more responsive to their customers and allocate costs proportionately across their business, which is the way business is done in most other digital markets or markets that have moved from analog to digital.
Operator: Our next question comes from Alex Kramm of UBS. Alex, your line is now open.
Alex Kramm: Good morning, everyone. Just wanted to ask about pricing holistically across the business. When you look at the data services space, some of your peers, maybe some of them in the desktop space that you're not in, but we're seeing price increases because of inflation. Your primary peer in the futures trading side also seems to have been taken a bigger price increase than usual this year. So when you put this all together and you look at your business, it seems like you're leaving some money on the table and you're a little bit afraid to kind of like turn that lever a little bit more. So just wondering if you're thinking, is it all evolving given the higher inflationary environment that's obviously driving your cost higher as well?
Warren Gardiner: Alex, this is Warren. It's a good question. We've certainly seen some of the peers out there and what they've done on the pricing front. It's always been our philosophy that, when we're going to increase price, it will come with value added to the particular product that we're increasing that price on. And that hasn't changed, and that's not going to change this year. I think from our perspective, the better long-term strategy is to operate that way, and that's what we're going to be doing this year. And we mentioned a little bit earlier on the Fixed Income and Data Services side, there really wasn't much difference in terms of how we're approaching that this year. We do have a small amount of contracts, it's pretty immaterial at the end of the day, that are benchmarked to inflation. But I don't think you'd really notice that at the end of the day, depending on how much that will fluctuate. So on that front, I would say it's pretty consistent. On the futures side, we're always looking at that as an option. But again, it's something we haven't really pulled lever on up until this point, and there certainly have been instances in the past where we've done it. But something we are thinking about and always thinking about, frankly. So I wouldn't necessary that's much of a change. But yes, that's something that's out there and certainly on what some of the others have been doing.
Jeff Sprecher: And this is Jeff. I would just mention that we spend a tremendous amount of time focused on our own costs and the cost of delivering these products and continue to make prudent investments but underneath allocate to personnel and resources.  We've been -- you may notice, of all the major exchange groups, we've been the most cautious, if you will, of moving business to the cloud because those are areas where we've seen the largest cost increases and the most unpredictable rises in cost. So we have continued to be conservative in delivering our products the way our customers want to see them but trying to do it in a way that is very, very cost efficient.
Operator: Our next question comes from Alex Blostein of Goldman Sachs. Alex, your line is now open. Please go ahead. 
Alex Blostein: Hi, everybody good morning. Thanks for the question. I just want to go back to some of the energy dynamics in the space. And I was hoping you guys could talk about the environmentals for a bit. It’s great to see the TTF complex kind of coming back to life here in January. What would it take to get, I guess, the environmental products going again? And kind of what are some of the dynamics in that market for '23?
Benjamin Jackson: Thanks, Alex. It's Ben. And we feel really, really great about the position we have in the environmental marketplace. As you know, we were here very, very early. Almost 13 years ago is when we acquired the Climate Exchange, and that was really the foundational piece to it. And we've been building and investing around this the entire time since we've owned that and now have the most global complete suite of solutions there that are helping our clients price carbon, offset their carbon risks, trade renewable energy credits, et cetera. And one of the other strengths that we have to our environmental business is that there's a symbiotic relationship that we see with energy. A lot of people that are producing energy or consuming energy need to care about the price of carbon. So we see a symbiotic relationship there. For our business, if you look under the covers of what was going on last year in 2022, we did see some headwinds, as I mentioned in my prepared remarks, on the European Union allowance markets. And a lot of that was associated to time, capital and attention being paid towards the energy markets. That said, we continue to see market data subscriptions, in particular, environmentals, are growing nicely over the years. So we continue to have people added into our community between our market data, between our ICE instant messaging platform and chat platform. We continue to grow visibility and interest into our markets there. I'd also point out that the European Union late last year reaffirmed the trading scheme and continue to signal that things like free allowance thresholds, so the amount of carbon that you're allowed to emit before you have to buy allowance, all those are going to start coming down, which means that more carbon is going to need to be priced and more sectors of the economy are going to be captured. So from a long term looking out over the horizon perspective, that's a tailwind of growth. We launched our U.K. allowance platform. That was up nicely last year, up 16% and North America, as I had mentioned, had a record last year of almost 3.7 million lots traded with a record number of market participants in there. Our regi contracts, which is regional greenhouse gas emissions California carbon allowances, renewable fuels all had a great year. We continue to invest here by launching new contracts. We launched tech wind solar contracts last year, and we also launched a few tranches of nature-based offsets. One of the things that we announced at the end of last year that may have flown under the radar for people is when you look at the offset market in the carbon and environmental credit markets, those markets tend to be called voluntary, and they are very nascent. Those are markets that no one has really been able to effectively develop yet, and they're all in very, very early stages. One of the key problems we think that there is from our experience in developing other markets is that there's a fundamental -- fundamentally very difficult for somebody to understand what is the offset that one would want to trade. What is the underlying reference data associated to it? What are the components that make up that offset or that environmental credit? What's the quality of that credit? Basic supply information like how much was issued when it was originally issued, how much has been retired and how much still exists. So we launched, at the end of the year, a reference data service where our community of over 100,000 instant messaging and chat clients that are traders that are utilizing that all day long, they're energy traders, they're environmental market traders can instantly look up any offset, any environmental credit, be able to get all of the reference data associated to that credit; how much was issued when it was issued;, how much has been expired, how much is still available to trade, this is all basic fundamental supply data that people need to be able to price -- fundamentally price the contract. So we pulled all that together, so you can gather all that information on a near real-time basis. We pulled it together from a variety of different sources to make what was hours worth of work, if not days, can be done instantaneously. And obviously, with that information, it can help with price formation and eventually interaction with our community to help identify people that would want to trade.  So we feel great about our positioning there. We're investing there, and that's just one significant example of a nascent market that we think we have some foundational elements that we're so excited about.
Operator: Our next question comes from Simon Clinch of Atlantic Equities. Simon, your line is now open.
Simon Clinch: Thanks for taking my question. I just wanted to cycle back to the mortgage business. And specifically looking at the transaction revenues, I was just wanting -- as you're increasingly looking to shift your revenue streams towards the recurring revenue line over time, should we look at that as do start to rebound?  And then secondly, is there -- should we assume that the sort of level of outgrowth versus -- of the transaction revenues versus those mortgage industry volumes should narrow and to zero because we're effectively shifting all of your business to recurring revenue streams? Just trying to understand the dynamic that's going on between the recurring revenues and transaction revenues right at this point.
Benjamin Jackson: Sure. Simon, it's Ben. So there's a couple of different pieces to that question that I'll cover. So on transaction revenue, we have said we are willing to give up some transaction revenue that we have today. So take, for example, a "success" fee. When a loan is codified, there's a transactional fee associated to that, that where -- if we lower that to some degree for our clients but shift more of that towards recurring revenue and more predictable revenue to us, we'll do that. So there is some short-term impact to our transaction -- to existing transaction revenues. At the same time, we have a whole suite of other services that we're cross-selling to our stable of 3,000 Encompass customers, for example, around the world, some of which are recurring, some of which are transaction that, as those continue to mature because they're very early stages but are showing some great signs of success, our ability to cross-sell those, things like our data and analytics offerings, which we -- were transactions that we've tilted much more towards subscription. But then we also have services in our closing line item that we're continuing to invest in and we're continuing to add on that will be incremental transaction revenues. So there's a mix underneath the covers there. But we believe that having a more predictable business model for the longer term will enable us to continue to grow the business at 8% to 10% a year for a long period of time.
Operator: Our next question comes from Craig Siegenthaler from Bank of America. Craig, your line is now open.
Craig Siegenthaler: Good morning, everyone. I wanted to come back to Ben's commentary that 4Q is the strongest Mortgage Tech sales quarter since last year. What products drove the increase in 4Q versus the prior quarters? And also given several announcements of exits and downsizes in the residential mortgage world, and I'm thinking Wells Fargo is probably the biggest, which products are you seeing under the most pressure on the sales front in 4Q?
Benjamin Jackson: Thanks for the question, Craig. So a lot of what we saw in terms of sales strength, so I'll just -- I'll talk about 2022 first, then I'll go in the fourth quarter. So for 2022 as a whole, our AIQ, that -- the automation service that's lowering the cost of manufacturing a loan to our clients was very strong throughout the entire year and each quarter. We had a good quarter in selling new clients onto that platform. Again, that's hopefully lowering their cost of manufacturing along a lot of the comments that Jeff made before. And hopefully, those cost savings get passed on to the end consumer. In the fourth quarter, it was an interesting dynamic. It was actually our -- the core Encompass product that drove that sales strength that we had in the fourth quarter. So what we're seeing is that, while you do have customers that are consolidating, you have some M&A, you have some downsizing that's happening with that client mix. The two things that we see in parallel are that, one, a lot of the banks credit unions, non-bank originators, they're using this time to invest in infrastructure.  So if they have in-house systems, for example, which is often what we're unseating, they're looking to invest in their infrastructure to be ready for when this market snaps back. Looking at our funnel going forward, we know that a lot of the big banks are looking at that, that infrastructure that they have and looking at making investments to position them well when the market snaps back. And then the other thing that we're seeing is, as I mentioned, as employees are impacted by these downsizings. We're seeing a lot of them start new shops. And as entrepreneurs, they're starting new shops, and we're well positioned to win that business as well.  So we're very well positioned across the entire spectrum. And people are taking -- we see people taking advantage of the opportunity right now where there is a strain in the system to invest and be ready for when the market comes back.
Operator: Our next question comes from Brian Bedell of Deutsche Bank. Brian, your line is now open.
Brian Bedell: Great. Thanks, good morning folks. Thanks for taking my question. I wanted to turn back to fixed income trading. It's been on such a strong growth trajectory. And when you described good traction in the muni business and data, maybe if you can talk a little bit more about the mix of revenues within that business. I know the market share gains have been really good. Is it mostly munis? And just thinking about the sustainability of this, munis has been growing more than doubling on a year-over-year basis, reaching a $100 million annual revenue business in the second quarter and if it can continues to grow like sequentially, it will be a $200 million annual business within a couple of quarters. So just trying to get a sense of the drivers behind that and if you think this momentum can continue?
Lynn Martin: Yes. Thanks for the question. As I mentioned, volatility certainly did help out this business, but a lot of the share gains we've achieved in the institutional side of the business has really been what's driving the growth. 26% in Q4 of our muni activity came from institutional accounts. So that's up from 13% in 2020 when we started to acquire all of these different platforms. So we've really been able to increased institutional footprint. We do see opportunities also in treasuries and CDs. Those two asset classes within the execution segment have outperformed a lot of that volatility-driven. But the toughest thing to do is to get the plumbing into the institutional accounts. And I think the deliberate decisions we took a couple of years ago to be workflow-agnostic, to work with a variety of providers to plumb our platforms into a variety of workflow solutions have really beared fruit in 2022. So when volatility came into the market, it wasn't just about your traditional retail trader that was executing the munis and corporates. It's now about the institutional trader that sees us as a diversified platform across multiple asset classes in fixed income.
Operator: Our next question comes from Michael Cyprys of Morgan Stanley. Michael, your line is now open. Please go ahead. 
Michael Cyprys: Great. Thanks. I wanted to circle back on Mortgage Technology. With the recurring revenues up about 16% mid-teens in 2022, I was hoping you might be able to help unpack what portion of that recurring revenue growth was from unit growth, from existing -- excuse me, unit growth from new customers versus wallet share gains from existing customers where you're expanding the services they are offering to them versus what portion of the growth is coming from current versions from transactional to the recurring revenue side. And then when you look ahead to '23 with your mid- to high single-digit growth there on the recurring revenue sides and Mortgage Tech, how do you see that mix evolving in your outlook into '23? Thank you.
Benjamin Jackson: Thank you, Michael. It's Ben. And it's a mix on it. You hit on some of the elements in the way you asked the question. So our view has been that when you have this significant stable of customers, the 3,000 lenders that are on our platform and utilizing our services, there's a tremendous opportunity to cross-sell.  And one of the things that's really driving that recurring revenue growth is the success we have in continuing to sell our AIQ platform into that customer base. We have a long way to go in being able to penetrate those 3,000 lenders and be able to provide them the efficiency that they need now more than ever. So we feel good about our ability to cross-sell and how we've executed on it to date since we acquired, the former Ellie Mae business and looking forward ahead into the future. The other thing is new sales. So we continue to have great success adding new customers. Customers can come on and utilize that AIQ, offering those analysis to other third-party providers. So we continue to have success there. And we also continue to add new customers on to Encompass. And I just answered a question on that. A couple of questions that go here. So we continue to have great success in the Encompass for all the different segments that we sell through. Whether it's a start-up company, whether it's an established non-bank originator, whether it's a bank or a credit union, we're a broker across the entire spectrum, we believe the investments we've made in our platform is very well positioned to meet those clients' needs. And as we see a lot of the major home lenders in the U.S. looking to replace in-house legacy infrastructure, we think we're also very well placed to win that business as well. So those are the key drivers -- as well as it's having very relatively low attrition. We are a core platform for operating these businesses. So unless they're going out of business or there's M&A that's happening, we're not losing business.
Operator: Thank you. We have no further questions for today. So I will hand back to Jeff Sprecher for any further remarks.
Jeff Sprecher: Well, thank you, Alex. Thank you all for joining us here this morning. We are continuing to innovate for our customers and build an all-weather business model and delivery growth. And so with that, I hope you'll have a great day and appreciate your being with us.
Operator: Thank you for joining today's call. You may now disconnect your lines.